Operator: Good day. My name is Hillary and I will be your conference facilitator. I would like to welcome everyone to Aeva Technologies First Quarter 2021 Earnings Conference Call. During the opening remarks, all participants will be in a listen-only mode. Following the opening remarks, we will conduct a question-and-answer session. As a reminder, today’s conference call is being recorded and simultaneously webcast. I would now like to turn the call over to Andrew Fung, Director of Investor Relations. Andrew, please go ahead.
Andrew Fung: Thank you, and welcome everyone to Aeva’s first quarter 2021 earnings conference call. Joining on the call today are Soroush Salehian, Aeva’s Co-Founder and CEO; and Saurabh Sinha, Aeva’s CFO. Soroush will provide an overview of Aeva as well as share developments over the quarter and objectives for 2021, followed by Soroush who will discuss the first quarter financial performance and 2021 financial outlook. Ahead of this call, we issued our first quarter press release and presentation, which we will refer to today and can be found on our Investor Relations website at investors.aeva.ai. Please note that on this call, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative about views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect now financial results, please refer to our filings with the SEC, including our Form 8-K filed on March 18, 2021 and the risk factors found in the section entitled Risk Factors - Risks Related to Aeva’s Business and Industry in the proxy statement dated February 12, 2021 filed by InterPrivate Acquisition Corp. In addition, during today’s call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Aeva’s performance. These non-GAAP measures should be considered in addition to and not at the substitute for or in isolation from GAAP results. The webcast we play of this call will be available on our company website under the Investor Relations link. With that, let me turn the call over to Soroush.
Soroush Salehian: Thank you, Andrew, and good afternoon, everyone. I am very excited for our first conference call. I would like to start out by thanking our employees for their outstanding contribution to the completion of the transaction. I would also like to thank our shareholders for their commitment and support. Now, let me highlight a few of our accomplishments in this quarter. As you can see on Slide 5, it has been a strong start to 2021 here at Aeva and I would like to highlight a few key accomplishments achieved in the first quarter. As mentioned earlier, we successfully closed the business combination transaction with InterPrivate Acquisition Corp on March 12 was an upsized pipe we received over $0.5 billion in net proceeds that we expect to support Aeva through our plans start to production. We also continue to build on our commercial traction with the announcements of collaborations with a self driving trucking company TuSimple to deploy Aeva 4D LiDAR. And with Denso one of the world’s largest Tier-1s. On technology, our team continues to push the boundaries of what’s possible to our creating the best perception solution built on Aeva’s breakthrough FMCW LiDAR technology. Our system is now capable of detecting objects at an industry-leading 500 meter range, nearly doubling our previous systems by software updates on Aeva’s existing hardware. We also bolstered our leadership team with industry veteran executives who have deep expertise in engineering, manufacturing and scaling of advanced technologies. This include Tim Willis as our VP of Supply, Manufacturing and Strategy, having most recently been Waymo’s Chief Manufacturing and Global Supply Officer. In addition as announced yesterday, we have established an advisory board with the addition of veteran execs from Apple and Volkswagen who bring tremendous experience across automotive and consumer electronics. Now let’s turn to Slide 7. As this is our inaugural earnings call, I think it would be helpful to provide a brief introduction to the company and its unique 4D LiDAR technology that’s driving attraction in the industry. We are a sensing and perception systems company with a singular vision to bring the next wave of perception for all devices. Today, math adoption of LiDAR has been limited by the performance and scalability of available sensors. Since starting Aeva about four years ago, we have developed a breakthrough 4D LiDAR on chip technology that we believe can achieve the holy grail of sensing for perception. High performance yet scalable and affordable products build from the ground up at silicon chip scale. We believe this can unlock the massive market opportunities across automotive and assisted driving and autonomous driving applications, as well as non-automotive application such as industrial automation and consumer electronics. We have already earned the endorsement of a number of leaders in automotive and advanced technology, including Porsche SE the majority shareholder of Volkswagen, ZF, Denso, TuSimple and as we announced today an undisclosed large company among others. Now turning to Slide 8. I’d like to share a bit more about our approach to achieving Aeva’s mission to bring the next wave of perception for all devices. While the goal is wide reaching, we believe it takes the singular focus on designing the best perception solutions to make this possible. It also requires something that is more than just slightly better than what’s available today. That solution that fundamentally changes the sensing and perception paradigm. At Aeva our team of multidisciplinary engineers have built from the ground up at breakthrough FMCW technology informed by a long-term view of where we see the end state of LiDAR, not what’s best today. They’ve done this through learnings from years of year old testing on the road, as well as a clear focus on simplifying design to enable mass scale ability at affordable costs. The resulting performance of our industry first 4D LiDAR has been validated by our partners who are leaders in the industry. More specifically our approach to partnerships, it is not to win the customer count. Our focus is on aligning with companies that have a shared determination and the ability to deploy LiDAR at mass scale. And we believe strongly that working in tandem with highly capable and will position partners is critical to addressing issues that have historically challenge the industry and enable Aeva to bring 4D LiDAR to mass adoption. Now let’s move to Slide 9, which provides more detail on Aeva’s differentiated 4D LiDAR. As I mentioned, our core technology is a frequency modulated continuous wave or FMCW 4D LiDAR that is integrated on a silicon photonics chip. Unlike legacy 3D LiDAR based on time-of-flight, Aeva’s 4D LiDAR transmit to continuous low power laser beam that is embedded with a unique signature in its frequency, and then measure the change in frequency has it been reflect of the object. This provides several critical advantages compared to legacy time-of-flight LiDARs that are available. First, the ability to measure a fourth dimension of intense velocity for every pixel. Second immunity to get our parents from other LiDARs and the sun light. Third, the capability to detect long ranges with 100 times higher sensitivity compared to legacy time-of-flight technology. And lastly, by integrating all of this onto a LiDAR chip module that is built on proven silicon photonics processes, we can provide a lower power system at mass scale with affordable costs. Now, given the advantages of FMCW, why are other LiDAR companies still using time-of-flight? Well, this is because we believe that all non-Aeva approaches to FMCW has inherent challenges limiting their market adoption, but Aeva is not the traditional FMCW company. As you see on Side 11, Aeva’s unique approach and IP has enabled us to solve for the limitations of traditional FMCW. First, leveraging our unique photonics design and proprietary algorithms, Aeva’s 4D LiDAR achieved millions of points per second per beam, enabling our system to have a low number of themes and a low number of transceiver counts, while simultaneously capable of long range and high resolution. Second through our silicon chip integration, we’re able to significantly lower total system component count, which drives a material relative cost advantage to other LiDARs. In short Aeva’s differentiated approach to FMCW provides a significant advantage to both legacy time-of-flight and traditional FMCW. Now switching gears to our business updates for this quarter, I’m excited to share several important achievements. First, on Slide 13, Aeries our LiDAR platform has been progressing ahead of schedule. And over the past quarter, we have made improvements in a number of key areas. First, building on our unique FMCW technology, which enables high resolution without compromising any detection range, we have significantly improved our previous resolution and now can exceed over 350 points per square degree. Second, we continue to miniaturize our packaging towards production, which is now 30% smaller than our previous design. And third, we completed the reliability and compliance testing that meets the necessary temperature, vibration and ingress protection requirements for passenger vehicle applications. Moving to Slide 15, we completed the third generation of our LiDAR chip, which integrates all elements of LiDAR sensing and optics into a single chip module. And we have done this about three months ahead of schedule. To our knowledge Aeva remained the only company to have successfully developed and integrated this breakthrough LiDAR on chip technology. This LiDAR chip module is the final architecture that we plan to use for Series production programs launching in 2024. This already provides us with a clear path for our final cost structure and enables our final form factor. We have also removed all fiber optics from our system with this LiDAR chip generation, which is a game changer for liability and durability of any LiDAR system. And notably, this is already being produced at our production intent factory. In addition, our chip module is fully integrated and we have completed key preliminary reliability testing for automotive. Turning to the next slide, our LiDAR integrate all the core components onto a chip module, which solves the challenges limiting this capability of LiDAR to the market. Specifically, we replaced a fiber-based laser with a semiconductor laser. Doing so, we deliver a solution that is more reliable, lower costs and uses less power all of which are critical factors to enable mass adoption. Similarly, we use common pin dial detectors, which are manufactured in millions of units today and are a fraction of the cost of more expensive detectors, such as avalanche photodetectors, which have low yields. Also, we utilize small aperture optics, which significantly reduce the size and the cost of our system. And by integrating all core components onto a silicon chip platform, we dramatically simplified the assembly process. By removing the need for active alignment, we significantly reduce manual assembly and bring down the overall complexity and costs for manufacturing. The end result is a high performing LiDAR system that is more reliable and truly scalable and affordable costs using proven semiconductor manufacturing processes. Turning to Slide 18, we continue to expand our technology and performance leadership. Aeva’s unique 4D LiDAR analogies beyond 500 meters of range, nearly doubling our previous performance by software updates on existing hardware. To our knowledge, Aeva is the only perception company that can detect vehicles beyond 500 meters and pedestrians beyond 350 meters. But perhaps most importantly, an industry first capability is to detect growth drivable surface beyond 200 meters. This is a step changing capability from others highlighting max range and we’re not aware of other system providers being able to see the drivable surface at such long distances. Reliable detection at these distances provides the crucial ability to enhance the factor of safety for automated driving, especially in applications where sufficient breaking distance is safety critical and challenging to achieve with existing technologies, including highway driving. A leading detection range is only possible by utilizing Aeva’s unique FMCW 4D LiDAR architecture that has superior sensitivity. And by leveraging our intent losing information, we can measure such objects with higher confidence that a legacy identified LiDAR at hundreds of meters away. Now moving to commercial development on Slide 20. Today, we are excited to share a foundational agreement with an undisclosed large company to deploy a best-in-class LiDAR for their autonomous program. This is a landmark validation of Aeva’s unique approach. The decision by this company to utilize a Aeva’s 4D LiDAR was driven by our proprietary FMCW capabilities that offer superior performance and our breakthroughs to integrate LiDAR onto a chip module at scale. Going forward, we will be working closely together through development and validation leading up to production. We are thrilled to collaborate together to bring Aeva’s 4D LiDAR to the market. Now turning to Slide 25, I would like to share our priorities for 2021. This year, our focus is to continue investing in developing a world class perception solution and supporting our key customers on their development milestones to bring our 4D LiDAR to market. First, we are working to bring our Aeries system, our LiDAR platform towards production and are on schedule to complete our B sample development by year-end. And this iteration logs are final production architecture. Second, we will build on our strong commercial momentum with two additional programs towards production. This is on top of prior announcements made already in 2021, including our foundational agreement with the undisclosed company that we just announced. Third, we will accelerate our engagement in non-automotive applications, including industrial automation and beyond. We are seeing increased inbound interest in this area and we planned to do this by leveraging already developed LiDAR chip architecture. And fourth, we are laser focused on building a clear pathway to commercialization. Well ahead of our target at 2024 launch, we already have agreements with our key suppliers and partners, including world-class boundaries and contract manufacturers. This year, we will continue to strengthen our supply chain, including securing capacity and defining our dual source strategy. And with that, I will turn the call over to Saurabh to discuss the financials.
Saurabh Sinha: Thank you, Soroush. As Soroush mentioned, our focus this year is on development and working closely with our key customers to create a best-in-class perception system that meets our customer’s expectation. And that is aligned with the timeline of their development milestone, which we expect to ramp up through the year. This includes completing our B sample development by year end and we are already ahead of schedule with our third generation LiDAR chip. Now let me provide some commentary on our first quarter financial results and 2021 outlook. Turning to Slide 27, which highlights our first quarter financial results. Revenues in the first quarter was $0.3 million, non-GAAP operating loss was $15.6 million, which is primarily comprised of R&D expenses related to product development. Growth cash use, which we define as operating cash flow less capital expenditure was $15.5 million and primarily reflect the operating loss in the quarter. Turning to our balance sheet, our cash, cash equivalent and marketable securities at end of the first quarter was a strong $523 million. Finally, our shares outstanding at the end of the first quarter was 211.5 million. Now on the outlook for 2021, we are comfortable that our full year revenues will be consistent with what we discussed in the go public process. As we anticipated, our revenues this year will be second half awaited in line with the timing of our customers’ development milestone. We are increasingly confident in the progress we have made on our technology, enabling us to x-rayed investments to bring forward our expansion beyond automotive. Therefore, we expect growth cash used, which is operating cash flow, less capital expenditure to be approximately $85 million to $95 million in 2021. Within this, we anticipate CapEx to be around $5 million. Lastly, I would like to provide a short update on the warrant accounting matters related to SPACs. We are evaluating the impact of the SEC statement on accounting and reporting considerations for warrant. We are committing certain financial tables at this time until our evaluation is complete. However, we do not expect the financial information presented here or in the press release to change. So in summary, we are well positioned financially with a strong balance sheet that will enable us to continue development of our innovative technology or to strategic opportunities and bring our 4D LiDAR to the market. With that, I will turn it over to Soroush for closing remarks.
Soroush Salehian: Thank you, Saurabh. I’d like to wrap up with three reasons why we’re excited about Aeva for 2021 and beyond. First, we have developed a breakthrough 4D LiDAR-on-chip technology that we believe achieved the holy grail of fencing for perception. High performance yet scalable and low cost product built from the ground up at silicon chip scale. We believe this can effectively unlock the massive market opportunities across automotive and assisted driving and autonomous driving applications, as well as non-automotive application, such as industrial and consumer electronics. Second, we have established world-class strategic partnerships and earned the endorsement of the leaders in the industry. We are working closely with our partners to build the world’s best perception solution for mass scale. And third, our strong financial position will enable us to continue to expand our technology leadership and execute on our plan to commercialize Aeva’s differentiated 4D LiDAR and bring the next wave of perception for all devices. Thank you for your time today. Now, we open up the line for some questions.
Operator: At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question is from Suji Desilva of ROTH Capital Partners. Please state your question.
Suji Desilva: Hi, Soroush. Hi, Saurabh. Congratulations on the merger and the first quarter out of the gate. So I’m trying to get a handle on the customer, just a commentary you made, the foundational agreement, just to understand what that might mean and is this the first for Aeva. And just corollary to that the two customers you’d have momentum with it. Would that take the four strategic customers to six? Is that the way to think about that?
Soroush Salehian: Hi, Suji. Yes. Sure. Happy to answer. First of all, this as I described earlier, we see as a landmark deal with this large company and we have agreed with this company to deploy our 4D LiDAR for their autonomous program, we will be working closely together with them from now leading up to production to really develop and bring our product to scale. And in terms of the other two additional programs, as I mentioned, these are incremental to what we have described so far. So we are already of course, excited by the traction that we have in this space and we’ll be continuing to deliver on the progress we’ve made so far.
Suji Desilva: Okay. That’s great progress out of the gate here. And then on the manufacturing side, I feel, I have to ask the supply chain readiness you described some very positive commentary. But just want to understand, if there’s any impact in your strategic efforts here based on recent industry wide tightness in semiconductors and the automotive supply chain or whether you’ve had to adjust to that or whether you had planned for some of the things you already hearing, any commentary, that’d be helpful.
Soroush Salehian: Sure, absolutely. So, first of all, currently we do not see an impact and on supply shortage issues. In the near-term, we are seeing longer lead times for certain silicon components, but we’re not currently impacted and that’s because of course they’ve already secured those critical components. And in long-term, as I mentioned, we are focused on strengthening our supply chain, as I mentioned, which includes securing capacity for production and also working through our door source strategy for specific components. So that – these are all of course critical activities. And of course, we are doing all of this work well at a production. And you’ll very confident, especially with the addition of the executive team that we’ve had, including Tim on the supply chain side.
Suji Desilva: Okay. Thanks guys. I’ll jump back in the queue.
Operator: Our next question is from Colin Rusch of Oppenheimer. Please state your question.
Colin Rusch: Thanks so much. Guys, the – though the extended range with a software firmware upgrade is the perfect deal. Can you speak to the capacity for the signal processing capability within the solution to continue to evolve and what the cadence is really for further innovation?
Soroush Salehian: Sure. So first of all, I think this is one of the critical advantages that we have discussed before about FMCW and specifically Aeva’s unique approach to FMCW. Obviously, because we are very highly developing signal processing algorithms that are unique to us, we have the ability to continue improving the performance and doing that in the same hardware. And as you mentioned, we do that already, as we described earlier in the current existing hardware, using same hardware with processing algorithms and improvements to the processing to help to do that. And we foresee that we are able to continue to do that on our existing hardware, especially with the latest generation of the LiDAR chip that we have developed to be able to leverage the unique assets of sulfur because of the MTW approach to make further improvements. So that’s I think an important differentiation that receive for Aeva convert to kind of more hardware frozen devices.
Colin Rusch: Okay. That’s helpful. And then just given the comments on some of these big customers moving through the process, previously you had talked about 26 programs that you’re tracking, but can you give us a sense of how many programs you’re tracking and how they’re progressing along their timeframe? So are they tracking in line with what you’d expected? I think there’s an awful lot of, I think learning and decision making happen going on within this program. So just want to get a sense from you guys in terms of overall number and [indiscernible]
Soroush Salehian: Sure, absolutely. So first, as also described earlier, with that our extensity of shared, we are seeing strong fashion at the market and obviously our go public process is accelerating our momentum and as evidenced also like the announcement we made today about the foundation agreement with the undisclosed customer. And I think that these are kind of proof points and validation points today, advantages of our technology and the traction that we’ve been giving – gaining, even since the closure of our transaction. We are continuing spending engagements, we are seeing an increase as your version and the number of opportunities to pursue, and we will continue, as I mentioned to focus on those partners that are highly capable will position, and accurately, importantly have the scale to help bring our products to the market. So and again, lastly, we are working to convert additional programs. And again, as I mentioned earlier, our goal this year is to convert two more programs in addition to what we have described so far, we’ve talked about so far that we’ll be working closely with towards production.
Colin Rusch: All right, thanks so much.
Operator: Our next question is from Tristan Gerra of Baird. Please state your question.
Tristan Gerra: Hi, and congratulations on your first quarter as a public company. Just looking back on the landmark design, when the two announced today, could you give us a sense of the potential size of that when and relative to what you have announced previously and whatsoever he signed, and then also any idea in terms of the timing of the web?
Soroush Salehian: Sure. So first of all, Tristan, we’ve been working closely with this customer for some time. And as I said, we look forward to a close collaboration between now and leading to production. First, I'm going to provide exact timeline on the production year for obvious reasons. But maybe just give you a bit of sense for the potential opportunity here to our knowledge, we see the potential opportunity from this company and this deal to be amongst the largest in the industry based on what we know so far.
Tristan Gerra: Okay. That’s great feedback. And then it was good to hear you guys made a rate to the revenue guidance for the year. And you’ve mentioned it’s going to be second half loaded. Obviously it’s going to take a pretty significant acceleration from the current quality only one rate. So could you maybe give us a little bit of color as to when do you expect the acceleration of your quarterly revenues that going to be second half? Or is it going to be earlier and what’s going to be driving it? Is it specific customer or across all the engagements you have any color as to what we’ve tried that inflection point that this year and the level of confidence you have, this is going to happen this year.
Saurabh Sinha: Yes. Tristan, this is Saurabh. That’s a great question. So I indicated in my prepared remarks, it is second half waited in line with the customers development timeline, and we had fully anticipated that Q2, Q3, Q4, we increased activity as we go on and develop and execute.
Tristan Gerra: Great. Thanks, again. Very useful.
Operator: Our next question is from James Michael of Piper Sandler. Please state your question.
James Michael: Hi there, this is James Michael. Just quick question from me, how should we think about incremental updates to your technology, affecting your production forecast? Are these kinds of expected to drive share gains over time, or they just advancements consistent with your previous expectations for product innovation?
Soroush Salehian: Yeah, sure. That’s a good question. So first of all, as I mentioned, we have always believed in the advantages of FMCW, as its differentiation and capability to especially for able to bring that to the market. And we are highly encouraged by the developments that we have made so far with the third generation LiDAR chip ahead of schedule one quarter. We are going to continue making improvements on the existing hardware leveraging our ITW have developed. And in general, we see the technology advantages that, that we have made and continue to improve on to enable us to gain additional commercial momentum. And we believe that this will help us with an increased market share over time.
James Michael: Yes, that’s helpful. And then just kind of on the same point, right. With incremental updates to the technology, do you expect a greater pricing power over time, particularly as you get manufacturing ready? Where could that end state for pricing and margins for your chip plan?
Soroush Salehian: Yes. So first, I think we do expect as we improve our technology and products, obviously in terms of performance as we continue to do so, especially in software, a single costing algorithms that we are able to provide increased value to our customers. Of course, we’re also going to be leveraging that to be able to gain additional pricing power if we can. So that’s going to be a part of it. But generally speaking, I think overall, we see that the reduction in our overall system price is enabled by the fact that we are able to continually improve our LiDAR chip technology over time. And we are investing heavily in this field. And we expect to make further improvements over the generations from the sort of production leading to future years.
James Michael: This is very helpful color. I’ll hop back into the queue. Thank you very much.
Operator: Our next question is from Richard Shannon of Craig-Hallum. Please state your question.
Richard Shannon: Hi guys, thanks for taking my question here. Maybe a couple for me. First of all on the foundational agreement, can you maybe describe the nature of the screen, especially relative to the other ones that you have in place here? Are they more different types of or closer collaboration? And I assume that these are collaborations, which you don’t – you’re not directly competitive with other things that they have going on. Maybe you could help us understand the broader dynamics there. That’d be great, please.
Soroush Salehian: Sure. So I can provide too much details obviously on the specifics of the program, but I can tell you yet we’re working closely through development plans including development and validation between now and leading up to production. I think this in general, as I mentioned, if we do see it a foundational agreement, because it does involve a close collaboration between the two companies from now all the way up to production.
Richard Shannon: Okay. And so you had mentioned that anyone – any competitors they may be working with, are you certain that, that there’s no one else involved at least with LiDAR the similar capability as yours long range from facing, or any dynamics you can understand there and share.
Soroush Salehian: Yes. We’re not aware of any such things.
Richard Shannon: Okay. Excellent. Second question for me regarding your recent software update that, that gave you 500 meters of range here. Kind of understood – we’d love to understand at least within the auto environments, what other dynamics of improvements you’re looking to do here looks like range should be about as long as you need to do a resolution looks to be very strong. Where else are you going to inflect in, in terms of improvements here? Is this more of a cost size, power dynamic here? And to what degree did those help you when the other markets are like you mentioned the accelerating into the consumer and other non-automotive barriers?
Soroush Salehian: Yes. Sure. So we are singularly focused on creating the best-in-class perception solution that we can on the planet. Our focus is in both hardware and software, as I mentioned, and we actually see those tightly coupled together, right. For Aeva having the LiDAR chip is a big piece of the puzzle, but it’s not the only piece. Without the algorithms and the unique IP we have there, the value to the end customer is not as much. So we see also that’s what we say those perception systems company. So to that note, we will continually improve on performance via the improvements offered additionally form factor, costs and the hardware with continued investment in the business and a LiDAR chip activity. And as I mentioned, we are pretty thrilled about our ability to execute ahead of schedule on the LiDAR chip especially because to our knowledge, Aeva is the only company that has been able to provide this LiDAR chip technology in this third iteration, all integrated into this one platform without the use of any fibers and this gives us increased confidence to enable our final cost structure and final fall factor already. And that I think is an important milestone. And we wanted to share that of course with everyone.
Richard Shannon: Okay. Great for that. Thanks for that details. That’s all for me. Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. This also concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation and have a great evening.